Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good morning and welcome to the Pool Corporation Fourth Quarter 2021 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. 00:32 I would now like to turn the conference over to Melanie Hart, Vice President and Chief Financial Officer. Please go ahead.
Melanie Hart: 00:39 Welcome everyone to our year-end 2021 earnings conference call. Our discussion, comments, and responses to questions today may include forward-looking statements, including management's outlook for 2022 and future periods. Actual results may differ materially from those discussed today. 00:58 Information regarding the factors and variables that could cause actual results to differ from projected results are discussed in our 10-K. In addition, we may make references to non-GAAP financial measures in our comments. A description and reconciliation of our non-GAAP financial measures is included in our press release and posted to our corporate website in our Investor Relations section. 01:21 I’ll now turn the call over to our President and CEO, Peter Arvan. Pete?
Peter Arvan: 01:27 Thanks Melanie, and good morning to everyone on the call and thank you for joining us. As you all saw in this morning's release, our fourth quarter results capped off an extraordinary year. Favorable weather combined with strong demand and tremendous execution by our team helped us post yet another record quarter. This amazing performance help propel our full-year 2021 net sales to $5.3 billion, which represents an increase of 1.4 billion over an impressive 2020. 01:59 Certainly, acquisitions helped drive growth throughout the year adding $257 million in revenue to our net sales, but the real star of the show and a testament to our people and strong operating model is that our base business grew 29% or 1.1 billion in very difficult operating environment. 02:19 By focusing on execution, we were able to leverage this growth to achieve incredible earnings. For the full-year, our diluted earnings per share soared to $15.97, a 78% improvement over 2020, yet another masterpiece. 02:36 Our unmatched operating model and capabilities coupled with the best, most dedicated team in the industry, allowed us to help more people enjoy a backyard oasis than ever before. We could not be prouder or more thankful for our team's efforts, our customer resilience, and the support from our manufacturing partners who work diligently in a challenging business environment. 02:59 In this busy year, we also completed four acquisitions. We added Pool Source in the Nashville market, Vak Pak Builders Supply in the Jacksonville market to our pool distribution network. Additionally, we added our Wingate Supply to Horizon in the Tampa market, and we also completed the very strategic acquisition of Porpoise Pool & Patio in December. This business based out of Clearwater, Florida is a distributor of swimming pool products, a chemical packaging operation, and a franchisor of best-in-class swimming pool retail stores throughout the state of Florida with additional franchise locations in Alabama, Georgia, Louisiana, and Texas. I'll cover this in more detail in a minute. 03:44 In addition to the four acquisitions, we opened 10 new locations this past year, four locations as part of our Horizon business, and six locations on the pool side. Before getting into our view of the upcoming season, let me add some color around our amazing fourth quarter. 04:00 In the last quarter, we posted net sales of 1.04 billion, which is an 23% increase over the previous year's very strong fourth quarter, and helped us achieve another milestone marking four consecutive quarters with net sales above the $1 billion mark. 04:18 Base business revenues in the fourth quarter rose 22% with acquisitions contributing 1% to the growth during the quarter. From a geographic perspective, our four largest markets ended the year strong. California grew by 16% in the quarter and 24% for the year. Arizona was up 24% in the quarter, and 23% for the year. Texas posted 22% growth in the quarter, and 34% for the year. Florida continues to be a strong area for us with 26% growth in the quarter and 30% for the year. Combined, our year-around markets grew 22% for the fourth quarter and 28% for the year. 04:58 Seasonal markets had similarly strong results with 23% growth for the quarter and 30% for the year. Although it is still a preliminary number, we believe that new pool construction numbers in 2021 will come in around 120,000 units, which implies a growth rate of approximately 25% over the 96,000 pools that were built in 2020. 05:22 Moving on to end markets, commercial had a very strong fourth quarter with sales up 26% and 24% for the year. After a tough 2020, this market has rebounded nicely and continues to drive growth with a strong maintenance and repair market and new construction picking up once again. Retail sales climbed 18% for the quarter and 20% for the year. 05:46 Let me provide a couple of comments on inflation in the quarter. Most manufacturers announced increases in the fourth quarter as we discussed on our last call, but many came back again and announced additional increases subsequent to those previously declared. We expect these increases to pass through the channel as is normal for this business with no impact on demand. 06:06 In the fourth quarter, we saw increased announcements of approximately 7%. So far this year, we have seen additional increases, which I will quantify for you later in my comments. 06:18 Turning to product sales performance, beginning with equipment, we saw sales increase 21% for the quarter bringing the total year to 35%. Heaters, automation products, and variable speed pumps led this categories growth. Chemical sales driven largely by inflation grew 26% in the quarter and 20% for the year as supply problems continue to plague us and the industry. 06:43 Lastly, building material sales, which is a key indicator of the health of the construction remodel business saw a sales climb by 20% in the quarter and 28% for the year. As a reminder, the fourth quarter of 2020 was incredibly strong in this category as we saw sales for that period grow by 42% making the 20% growth this quarter even more impressive. 07:07 Now, let me turn your attention to Europe, once again a tremendous performance. For the fourth quarter, net sales increased by 18% and this was on top of a 48% increase for the same period last year. For the full-year, Europe grew by 39% another incredible performance by our dedicated and talented European team. 07:30 Moving on to our Horizon business, we are incredibly proud of the performance of this strategic business and very fortunate to have such a talented team. As mentioned previously, we opened four new branches and completed one acquisition late in December that when combined with our existing locations helped Horizon grow by 28% in the quarter and 29% for the full-year. 07:52 Looking only at base business growth, Horizon posted 20% growth in the quarter and 22% growth for the full-year. Proof that our focus on the customer experience is helping us gain share there as well. 08:06 Turning to gross margin, overall gross margin for the quarter ended at an impressive 31.1%, up 260 basis points over the same quarter last year. For the full-year, we ended at 30.5%, a 180 basis point improvement over 2020. Volume related incentive programs along with supply chain initiatives, pricing management, and products mix all played a part in this improvement. 08:34 Operating expenses as a percent of sales came in at 18.8% for the quarter, which is an 80 basis point improvement over the same period last year. For the full-year, operating expenses as a percent of sales ended at 14.8%, which is a 210 basis point improvement over full-year 2020. 08:53 The team continues its relentless focus on capacity creation and combined with strong growth, the results are very impressive. Pool360 continues to be one of our biggest productivity tools for our team and the customer. Revenue growth through the tool was 46% in the quarter and makes up about 10% of our order line volume. 09:15 We expect continued gains in this area as we are now rolling out our next generation of Pool360 with many enhancements that will continue to drive adoption, customer engagement, and provide additional value to our customers. 09:27 Wrapping up the income statement, we are exceptionally proud to report operating income of $128 million for the quarter, which is 72% higher than the same period in 2020. Operating margin came in at 12.3%, which is a 340 basis point improvement when compared to the fourth quarter of 2020. 09:50 For the full-year, operating income totaled $883 million, which is up 79%. Operating margins for the year ended at 15.7%, which is 390 basis points better than 220. Again, this would not be possible without a strong market, dedicated and talented dealers, excellent manufacturing partners, and the world class team here at POOLCORP. 10:18 Before moving on to the outlook for next year, I thought it might be helpful if I provided some insight into the strategic acquisition of Porpoise Pool & Patio and [Suncoast] [ph] chemical packaging. We paid $789 million and we funded this transaction through our existing credit facilities and remain well below our targeted leverage range of 1.5x to 2x trailing 12-month EBITDA. This unique acquisition is essentially three businesses. 10:45 One is a pool products distribution business that provides supplies to 262 individually owned and operated franchise, pool, and outdoor living, retail stores and three company owned stores. 10:58 The second part of this business is a world-class chemical packaging operation that packages and sells chemicals to these franchise stores and other distributors and retailers in the industry. 11:09 The third part of this business is a franchisor, Pinch A Penny, an award winning best-in-class franchisor with a seller reputation in the franchising world and in the swimming pool retail market. Their retailing and customer support expertise developed over a 45-year history include a cutting edge technology platform, will provide new capabilities to POOLCORP that can be leveraged to benefit all our current customer base segments. 11:34 When combined with our tremendous buying power, our international distribution network and proven execution focused operating model, this is an extremely powerful and unmatched combination. 12:54 As I mentioned, the business includes a world-class chemical packaging operation that produces and packages, TRICHLOR TABLETS, and other proprietary specialty chemicals, including a variety of proprietary liquid chemical blends under several well-known brands for use in swimming maintenance. The operation enhances our cost position, improves supply consistency, and reliability and is scalable for future growth. 12:14 Today, all products are warehoused in one state of the art distribution center located in Clearwater, Florida and delivered to the retail stores by fleet of dedicated delivery vehicles. As previously mentioned, the business has 262 stores, 232 of the stores are located in Florida with the remaining 30 located in Alabama, Southern Georgia, Louisiana, and Texas. 12:37 Supplying to now 21 Texas stores from South Florida is a challenge so you can see that our existing distribution network creates tremendous synergies. It is our intent to leverage these capabilities over time and establish franchise locations throughout the Sunbelt to enhance our service to the significant number of homeowners maintaining their own pools. 12:58 One of the most strategic capabilities and key motivation for the acquisition of Porpoise Pool & Patio was the technology platforms and tools they have developed that we can leverage across all of our customer segments. Best-in-class tools such as a point of sales system, a water chemistry chemical application guide, and customer apps, demand creation tools, service management software, and valuable local pool market databases that will help fuel our business growth and product sales for many years to come. 13:30 Jim Eisch, a 28 year veteran and key architect of this amazing business has joined the POOLCORP team and will help us integrate and grow this business going forward. Jim will report to me and has already become a key contributor and [indiscernible] to our team. We plan to expand the Pinch A Penny franchise store network at an initial rate of 8 to 12 locations per year focusing on maintaining and enhancing the brand, while providing the high level of support that the franchisees have come to expect. 13:59 To date, we have opened one new store in 2022. The acquired Porpoise Pool & Patio operations are expected to contribute approximately 5% to POOLCORP’s total revenue in 2022. We are confident that over time, this operation will accelerate our penetration into the important DIY pool maintenance customer sector comprised of highly desirable recurring revenue maintenance products for the growing installed base of swimming pools. 14:28 Finally, and before I turn this over to Melanie for her commentary, let me provide some thoughts for 2022 and our initial guidance range for full-year EPS. The pool and outdoor living industry driven by consumers desire to spend more time outdoors in the comfort of their own backyard is strong. 14:49 Whether it's an afternoon in a pool or spa with family and friends or grilling dinner on the patio in an amazing outdoor kitchen or simply enjoying a quiet evening in a manicured backyard that is accented with beautiful [indiscernible] and outdoor lighting we are an integral part of the equation and demand is growing. 15:08 Dealers are reporting very strong backlogs. Realtors are reporting that homeowners seek properties with a backyard retreat, including a pool are in very high demand. COVID has accelerated the movement to the suburbs, fueled the southern migration, and changed the way people work allowing millions of people to work from home. It created an environment that supercharged our industry. 15:31 Demand remains very strong across all our geographies, and we see some encouraging signs as the supply chain is improving as well. Inflationary pressures continue but have yet to curtail demand, so we remain optimistic about the underlying strength of the industry. 15:47 We see labor constraints as continuing to be one of the biggest limiting factors on pool construction and remodeling growth, but again, are encouraged by signs of our contractor customers line to expand the size of their crews in many areas. 16:01 Labor will continue to be limiting faster on how fast the industry can grow whether we're talking about new construction or remodel their service, skilled labor is required and there's a war for talent. This war also affects our suppliers and their suppliers, which is continuing to impact the product availability for the coming season. 16:20 Chemicals will continue to be tight and the products that contain computer chips such as automation and some variable speed pumps will remain challenged. Inflation increased more than we previously expected. We ended the year with a benefit from inflation of 7% to 8%, including 8% to 9% in the fourth quarter. Inflation now looks to be at the 9% to 10% range as we move into 2022. 16:47 Acquisitions in new locations will add 5% to 6% to our revenue growth, taking all of this into account, we expect top line growth to be in the 17% to 19% on top of an amazing 2021. Earnings per share are projected to reach $17.19 to $17.94 per share. 17:09 In closing, I would like to thank the POOLCORP team, our amazing customers, and incredible supply partners for helping us bring outdoor living to life for so many people. 17:18 I will now turn the call over to Melanie Hart, Vice President and Chief Financial Officer for her comments.
Melanie Hart: 17:24 Thank you, Pete, and good morning everyone. We are very pleased to announce our outstanding fourth quarter and full-year 2021 financial results, and begin our discussions on 2022. As Steve mentioned, our fourth quarter results were very notable, as we achieved a record $1 billion in net sales and saw the momentum continue from our third quarter reported results. 17:48 Gross profit increased 35% to 322 million, and we saw gross margins increased 260 basis points to 31.1%. This is a record high and was aided by continued strong realization on purchasing incentive programs and actions we took to proactively manage our inventory needs in times of longer lead times and rising cost pressures from suppliers. 18:12 Fourth quarter operating expenses were well controlled, increasing only 18% over fourth quarter 2020 expense levels, including additional incentive compensation expense incurred during the quarter, offset by higher bad debt recovery. We saw an increase in operating margin for the quarter, as we realized 12.3% operating income from net sales, up from the prior year fourth quarter operating margin of 8.9%. 18:38 The robust demand driven growth in our top line and expanded gross margins provide the opportunity to increase operating income performance for both the fourth quarter and the full-year in 2021. Interest and other expense for the quarter was lower than expected, primarily due to interest income received on our net receivable recovery. 18:58 Moving on to the full-year 2021, [indiscernible] 5 billion in sales for the year is a remarkable accomplishment, even more so when considering the growth rate prior year, where sales were up 23% in 2020 over 2019, resulting in a two-year sales growth stack of 66%. 19:16 Revenue growth was primarily the result of generally favorable weather throughout the year, strong new pool construction activity, higher inflation, and revenues added from recent acquisitions. Other contributors to sales growth included the winter weather anomaly affecting Texas in parts of the Southwest in February, resulting in additional sales in the first quarter of approximately 20 million and an additional 10 million in the remainder of the year. 19:41 There was also a new Department of Energy regulation that took effect in July requiring that the majority as new [pump sink] [ph] sold be variable speed pump. We saw an increase in the percentage of higher ticket variable seed pump sales in the second half of the year, realizing approximately 20 million in incremental sales in 2021. 20:01 Base business sales increases of 29% included market share gains and an estimated 25% increase in the number of new pools constructed during the year. As we look at the expected contribution for 2021, we estimate that the maintenance portion of our business will continue to be around 60% of our total business with a slight increase in the proportion of new pool construction related product sales as with limited labor, our customers prioritized new pool construction projects, over remodel and renovation activities. 20:33 Gross profit reported was 1.6 billion, a 43% increase over 2020. Gross margin increased 180 basis points over was prior year to 30.5%, bolstered by supply chain management, pricing changes, and vendor incentives from increased purchasing volumes. 20:52 Overall for the year, we had an increase in operating expenses of 117 million, which included increased performance based compensation of approximately 20 million. Our reward programs are directly tied to increased financial results, which allows us to leverage our overall compensation. 21:09 Effectively executing on our capacity creation initiatives, allowed us to keep expense growth low at 18%, compared to 35% sales growth during the year. Even after considering the increased performance based compensation paid to employees to reward them for their efforts in delivering these results to shareholders. Where we have sales centers at capacity, we will look to invest in 2022 to enable a digital continued growth in those markets. 21:35 Our expenses for the year benefited from a one-time net recovery of 2.5 million that was previously written-off in March of 2020. There are no additional benefits expected on this note as it is fully recovered. 21:48 As a result of substantial revenue growth, enhanced gross margin, and focused expense management, we realized significant operating income leverage throughout 2021, increasing our operating margin to 15.7% of net sales, up from 11.8% of net sales in 2020. Total reported operating income of 833 million, represents a 79% increase over 2020 operating income of 464 million. 22:15 Included in income tax expense, we received an ASU benefit of 14.2 million or $0.35 per diluted share in the fourth quarter, which added to the $0.39 that was previously recognized and included in our guidance, for a total of $0.74 for the year. Our full-year tax rate excluding ASU was 24.7%. For 2022, we anticipate that our tax rate will be closer to our 25.5% historical rates. 22:43 Turning to our balance sheet and cash flows, we reported increase in net receivables of 30% consistent with our higher sales growth. DSO improved from 26.5 days in 2020 to 25.6 days in 2021. Inventory levels increased 71%, compared to prior year and 65%, excluding 2021 acquisitions. 23:04 By comparison, our 2020 year inventory levels were lower than our sales increases, due to product shortages and the absence of typical [early buy] [ph] purchasing programs. During 2021, the increased level of industry demand put continued pressure on our supply chain partners, resulting in us electing to build inventory, ahead of anticipated sales growth. 23:25 Over the course of the third and fourth quarters, we made significant improvements to our in-stock inventory positions, while continuing to meet high demand. We also increased inventory to support the 10 new locations we opened during the year and our completed acquisitions. These increased investments in working capital resulted in a lower than normal reported cash flows from operations. 23:46 We are confident that our current inventory position will provide us a tailwind to better serve our customers in 2022. Executing on our capital priorities, we spent 38 million on purchases of property and equipment to support our ongoing business operations. We invested 812 million on key strategic acquisitions, including 789 million on our December 2021 acquisition of Porpoise Pool & Patio. This also includes amount paid in the current year for prior year acquisitions or a portion of the purchase prices deferred. 24:19 2021 acquisition activity was funded by our long-term debt agreements, which we amended and expanded in September 2021, providing plenty capacity to capacity to fund our future business growth. We ended the year with a trailing [Technical Difficulty] leverage ratio of 0.77 and expect to continue to remain under our target leverage ratio up 1.5x to 2x. 24:40 We purchased 138 million and increased our dividends per share by 38% during the year, providing 120 million in dividend payments, bringing our total cash return to shareholders to 258 million for 2021. 24:54 Moving to our guidance for 2022, we expect to realize earnings growth of 12% to 17% resulting in a 2022 diluted EPS guidance range of $17.19 to $17.94, including an estimated $0.19 ASU tax benefit, which is expected to be realized in the first quarter. 25:15 In developing our guidance range, we are expecting high team sales growth, including approximately 5% from acquisitions completed late in 2021. Inflation will continue to be a component of our sales expectations for the year. With already announced vendor price increases, we expect that inflation will add 9% to 10% to our topline for next year. 25:35 Selling days for 2022, compared to 2021 will be up one-day in the first quarter and down one in third quarter with the same number of selling days year-over-year. Currency impact for 2022 are likely to be an overall drag on net sales growth and overall operating profit. 25:52 Gross profit margin in 2022 is expected to be relatively flat with 2021 as we are well-positioned with inventory, which will allow us to see modest improvements in the first half. We expect these improvements to level off as we have reached the third and fourth quarters, which will have difficult comparisons because of the inflation realized in 2021. 26:12 Our Porpoise Pool & Patio acquisition will be slightly accretive to gross margins. The distribution business, which is the larger revenue piece held lower margins at our historical rates. However, the franchise revenue will have a positive impact. 26:25 If inflation levels in the industry return to more normal growth rates, and we see improved lead time from vendors, we would expect that our inventory levels would increase at a much lower rate than sales increases, returning our expected cash flow from operations to be more in-line with our net income. 26:41 On the operating expense side, we are anticipating that expense growth will come in higher than our historical levels. Our sales growth has come in ahead of our strategic plans for the last two years, and we see 2022 as a year where we need to further increase our investment in technology and automation to drive our long-term growth and enable us to operate even more efficiently. 27:02 We have initiated a multi-year project to transform our legacy enterprise systems and capabilities to improve customer and team member experiences. We are also expanding our proficiencies and investing in our digital marketing initiatives. 27:16 We will also continue investing in these sales centers serving growing markets and expect to see some cost increases as we build-out these new locations and expand our market reach. For both Greenfield and existing lease renewals, we have seen sharp increases in industrial lease rates as a result of the strong demand on warehouse space. 27:36 We are also seeing external factors impacting our labor costs causing wage inflation in today's competitive labor market. As these are our more significant components of operating expenses, higher increases in these areas contribute to higher expense rates. 27:52 Capital expenditures, including our investments in the ongoing [indiscernible] projects will approximate 1% of net sales in 2022. Our technology investments are trending towards cloud-based systems and applications and will be reflected directly in operating expenses as they are amortized versus as a capital expenditure with associated depreciation expense. 28:12 We completed the acquisition of Porpoise Pool & Patio in December 2021. This strategic addition to our business is expected to add approximately 5% to net sales growth and 5% to our EBITDA growth. Although the [added debt] [ph] used to fund the acquisitions will result in increased interest expense, and we will incur higher intangible amortization expenses in the current years, Porpoise Pool & Patio performance will be accretive in 2022. 28:38 Accounting for around 3% of our projected net income growth, and provide significant long-term growth possibilities. The intangible amortization expense is included in the increases we expect in our selling and administrative expenses. 28:51 Even with higher sales growth in 2022, our operating margin target is expected to return to our historical contribution levels where we realized approximately 20 basis point to 40 basis point improvement. This improvement is also a significantly higher base of 15.7%, which was a 390 basis point improvement over prior year. 29:11 Interest expense for the higher outstanding debt balances is anticipated to come in between $26 million to $28 million, considering the expected interest rate increases that have been announced for later this year. This is subject to change based on the extent and timing of the proposed increases. 29:27 Excluding any potential share repurchases, we anticipate that our weighted average shares outstanding that will be applied to net income attributable to common shareholders will be approximately 40.75 million shares. 29:40 I am also pleased to announce that later this year, we will be publishing our [noble report] [ph] on our ESG efforts. We are delighted to provide more details on the many things we have been working on in those areas. We are excited to continue to collectively grow the outdoor living industry. With that, we will repeatedly offer strong and steady returns for our shareholders. Looking forward to sharing 2022 with all of you. 30:05 I'll now turn the call back over to the operator to begin our Q&A session.
Operator: 30:11 [Operator Instructions] Our first question today comes from Susan Maklari with Goldman Sachs. Please go ahead.
Unidentified Analyst: 30:47 Good morning, everyone. This is actually Charles [indiscernible] in for Susan. Thank you for taking my questions and congrats on the great results and a great year. My first question is on your inventory. Melanie, I think you talked that you were able to really take advantage of the environment to scale up and load up on products, how comfortable are you with your inventory position today? And now how much of the growth that we saw in 2021 was inflation relative to volume growth? And any need to further increase those levels in Q1, maybe for certain category? And as a result, how should we think about the impact of early pre-buys benefiting through your margin and gross margin in 2022?
Melanie Hart: 31:31 Yes. So, we are very pleased with where we ended the year from an inventory standpoint. There were additional vendor increases that took place in the fourth quarter, which is typical for us. And much of that product was received prior to that latest price increase. And some of the vendors have also announced additional first quarter increases. And so, obviously, the inventory on hand would not be subject to those increases as well. 31:57 So with that, we are expecting both of those to contribute to our margin from a benefit standpoint for the first half of the year. From an overall, if you look at the component of it, that's inflation related, I would say that it's somewhat similar to the overall inflation that we experienced for the year, if you look at the growth standpoint. 32:19 And then as we look at, you know we certainly do continue to see shortages in certain products, but overall, we're very pleased with the way we've been able to manage and balance the inventory throughout all of the various locations, and [diverted to] [ph] where the product is needed. And so, very comfortable that we will sell through that product very quickly based on our expectations for 2022.
Unidentified Analyst: 32:45 Great. Thank you for the color there. And then in your prepared remarks you commented about your intentions to increase your presence in the DIY market servicing this market, can you talk about, maybe the dynamics in that market, the growth rates and how it is different versus your distribution segment in terms of the competitive dynamics and the margin profile?
Peter Arvan: 33:08 Yeah, sure. I'll take that one. So, the growth of the DIY market is really just a function of what percentage of people are taking care of their own pools, versus having it done professionally. And I think that varies greatly by geography, right. In the year round market, there's more pools professionally serviced than there are in the seasonal markets, which can be more DIY, but if blended, it's probably in the neighborhood of 50/50. And when you throw spas and things like that in there too, that just furthers the DIY segment. 33:42 So, we like the fact that this gives us additional reach, it gives us additional tools to help our existing retailers as well and we think that as the installed base of pools grows, I think you could look at the market available growing really it will index to the installed base of pools.
Unidentified Analyst: 34:06 Okay. Thank you for time guys.
Melanie Hart: 34:09 Thank you.
Operator: 34:13 Our next question comes from Trey Grooms with Stephens. Please go ahead.
Noah Merkousko: 34:18 Hi. This is actually Noah Merkousko on for Trey. Good morning. Thanks for taking my questions and congrats to a strong end of the year.
Melanie Hart: 34:25 Good morning.
Noah Merkousko: 34:26 So, first, I kind of wanted to talk about how you're thinking about the sales cadence for this year. 1Q has the toughest comp, but it sounds like you're off to a strong start of the year. So, maybe help us impact that. I know there was also some unfavorable weather earlier this year, plus your comping entity [indiscernible] 20 million top line benefit from the abnormal Texas last year so, just again any color on the cadence?
Peter Arvan: 34:53 Yes. Businesses, we ended the year as you saw very strong. And I would tell you that at this point, we've continued on that trend. So, we've seen the market is generally strong. It started really heating up as you could imagine, as you remember back right after the onset of COVID and has continued to build, continued to be strong. I mean, weather is certainly the biggest external factor that we have. So, at this point, weather in the year has been okay. 35:26 And business remains strong. I guess more importantly the backlog of work with the dealers is really unchanged from where we exited the year, which is very strong.
Noah Merkousko: 35:40 Great. Thanks. That's helpful. And on my follow-up, I think you said earlier, you believe new pool construction was about 120,000 units in 2021, what are your thoughts on what that will look like in 2022? And how much of that is baked into the guidance?
Peter Arvan: 36:00 So, the new pool number for 2020 is, as I mentioned, for 2021 it is so preliminary. So, we'll get a better beat on that in the coming months. What I would say is that demand is still strong, Labor is still going to constrain the growth meaning that there's more people that are wanting pools that are going to get a pool. I think the industry has added capacity, but at this point, it's very early to tell because even if there's demand and there's people ready and willing to work, it really depends on the weather window and what happens in terms of available days to work. 36:43 I mean, it wasn't, if you remember back in 2019 and the beginning of the year, it turned out to be particularly the second quarter, a total wash out for weather, so we lost a lot of billable days. So, really is kind of early for us to comment on what we think new pool construction is going to be in 2022. Simply because one of the factors that we can't control was weather is – there's a lot of quarters in front of us right now that weather could curtail or sustain the build rate that we have, but overall, we feel very good about demand. 37:21 Feel very good that many of the dealers have been able to add some labor to their crews, but it's really going to come down to what weather is going to allow them to do. So, it really is just a little too early to answer that question.
Noah Merkousko: 37:35 Thanks. That makes sense and it's helpful. I'll pass it on.
Operator: 37:43 Our next question will come from Stephen Volkmann with Jefferies. Please go ahead.
Stephen Volkmann: 37:49 Hi. Good morning guys. First, just a couple of modeling things if I could, I think, Melanie if I heard you right that we are thinking gross margins, sort of flattish in the first half and down in the second half. Any order magnitude as to sort of the full-year impact there? And maybe kind of the same question on the OpEx side, because you talked about higher spending, is that higher on a dollar basis or a percentage basis, just any additional color there? Thanks.
Melanie Hart: 38:16 Okay. Sure. So, for the margins, we're looking at essentially flat margins for the full-year. So, we would expect that those would be higher than last year in the first half of the year. And then lower than the current year or 2021 in the second half, primarily because we saw some of those increases in 2021 in the second half of the year when we started to see some of these benefits from inflation. So, the flat expectation is really for the full-year with higher in the first half and then lower in the second half. 38:47 As it relates to expenses, the overall expense growth, and as I mentioned because of the various different really kind of cost inflation pressures that we have that are impacting the business, you know we are expecting that to be higher than what we normally would see, but that should be relatively consistent throughout the year as we start to sell some positions that we weren't able to get people hired as quickly as we would have liked last year in order to sustain, kind of the additional volumes, as well as some market increases on the wage side.
Stephen Volkmann: 39:23 Great. That's super helpful. And then Pete, maybe just going back to this question about new spending and refurbishments. I guess, I'm curious it feels like you know an $80,000 budget for a pool doesn't go quite as far as it would have a couple of years ago. So, I guess, are we seeing sort of less content because of all this inflation or any concerns around wobbling of demand because the markets haven't been great lately or any interest rates going up, those types of things?
Peter Arvan: 40:00 Good question. What I would say is that ironically, we've not seen any retreating in what people want in terms of pool, rather it continues to build and if you remember, you know we started talking about this a couple of years ago of the amount of pools that essentially have no technology on them. And as many of these pools are being taken over by new homeowners, you know that’s one of the first things that they're wanting to do is, increase or install some technology so that it's becomes more of a smart pool. 40:34 And as it relates to new pool construction, there's some great designs out there, there’s some great new features whether it a zero entry or a sun pad or the spillover spot that, you know, a spillover spot obviously has been around for a long-time, but and other water features, we've really not seen any decline and rather pools are getting fancier, they're not into value engineering. 41:02 So, we're encouraged by the fact that people see a beautiful backyard with a really decked out pools and those tend to be the pools that the builders want to build, obviously, because they make more money in doing those as well. So, with the backlogs that they have, they can be a little pickier on what they're building, but you're right. An $80,000 pool doesn't buy you as much as it did a few years ago, but it really has yet to curtail demand.
Stephen Volkmann: 41:31 I appreciate. I have one of those simple with no tech, so you make me jealous every time you talk about that stuff.
Operator: 41:44 Our next question will come from David MacGregor with Longbow Research. Please go ahead.
David MacGregor: 41:50 Yeah. Good morning, everyone and Pete, congratulations on just a phenomenal year. I just, it's impressive that we're looking at 15.7% operating margins for the year. I guess a year ago, we were kind of all thinking kind of 10 to 12 and then looking to grow, kind of 20 basis points to 50 basis points per year of annual progression. In your prepared remarks, you had talked about this, you kind of, [indiscernible] have a strong market, but we had just great execution by the team. And I guess, I’m hoping you can kind of help us understand how much of this improvement in margins right now would you attribute to just the strength of the market versus, kind of sustainable margin growth through execution and improvement of systems and progress on the cost structure and everything else?
Peter Arvan: 42:37 Yes. I think about it this way. In order for it to have great productivity numbers, you need to have certainly elevated volume helps, right? So, necessity is the motherhood of invention. So, the busier that we have gotten in the sales centers, and if you remember, we started talking about capacity creation, probably three years ago now as a way to improve our customer service and also to drive our productivity and try and stay ahead of the operating cost increases whether it was rent or wages or transportation. 43:14 So, we've been working at this for three years. We get a little better at it every year. We have a deck of projects that we worked through every year that we think continues to make us better. I mean, you certainly get facilities leverage right with the rent, as long as I'm not moving a rent doesn't change and to the extent that you're having a great growth here than your operating margin at the facility level improves along with that. 43:40 So, we're encouraged by the fact that we've seen good results on capacity creation, it's ingrained in the pool culture right now, and the fact that we have a list of things that are on deck that we will continue to work on to improve. I mean Melanie mentioned that we're spending money on technology too, which, you know the money we're spending today will reap benefits on in years to come. 44:05 So, it is really, it's just – it's ingrained in our culture that POOLCORP has always been very, very tight on execution and again part of the culture. And I think in a year where you have great demand like we had this year and frankly last year, we've been able to get some tremendous results from that.
Stephen Volkmann: 44:26 Yeah. It really has been remarkable. Just shifting gears to the acquisition program, there's a lot of consolidation going on in this space. And so, just love to get your comments in terms of how you're thinking about your acquisition program from an objective standpoint and what is it that makes sense [indiscernible] put more penetration into existing markets? Are you looking to expand geographically? And just maybe talk as well about the discipline of your acquisition program because obviously the quality properties get bought first and then there's kind of a marginal diminishing of quality, I would surmise in the market and just interested in hearing how you're pushing from a disciplined standpoint?
Peter Arvan: 45:09 Yes. I mean, part of our operating model is, we have a very well thought out strategic plan for the business. And acquisitions are a part of that. So, and acquisitions we view as extremely strategic. So, if you look at the geography in North America, for instance, we're essentially in most major markets today. 45:33 So, there aren’t many acquisitions that we have to make. Certainly any business that transacts, I [should say] [ph]. For the most part, every business that transacts, we get a look at. I'm sure there's been some exception to that rule, but I can't think of one. So, we get to look at. We know what they're worth. We're happy to pay a fair market price, but we also – we're in most markets. 45:57 So, we can afford to be strategic about it. If there's markets that we want to improve our presence in, and we want to improve our penetration in, and we think that the acquisition is both a strategic fit for us and a cultural fit for us, then we certainly have the firepower to go out and execute on that. But what we don't do is, pay ridiculous prices for acquisitions. We know what their worth. We're in most markets. We already have a footprint in most markets. 45:57 So, if it makes sense from a capabilities for consolidation perspective, we're happy to jump on and make the acquisition, but if we think that it's not a good cultural fit, then we have a footprint. We have a very good greenfield model. We opened 10 branches last year, we’ll open a similar number this year, which is all part of our shared growth initiatives. 46:57 So, growing share is execution with your existing facilities. It's adding facilities and it is acquisitions and acquisitions for us tend to be the smaller of those levers.
Stephen Volkmann: 47:12 Appreciate the thoughts. Thank you. Yes.
Operator: 47:18 [Operator Instructions] Our next question will come from Garik Shmois with Loop Capital. Please go ahead.
Garik Shmois: 47:33 Hi, thank you. Thanks for having me on. I wanted to unpack a little bit more just to comment around consumers investing more, some recently built pools versus the referred [indiscernible] side. Curious if there's is a gross margin mix impact here, just considering new pool investment is generally higher dollar, but lower margin and refurbishment is a bit about kind of a vice versus situation. So, any margin considerations should be thinking about just given the mix shift that sounds like is occurring this share?
Peter Arvan: 48:08 Sure. I mean, when people talk about refurbishing their pool, really there's a couple of – there's really – think about it in three parts, right? One part is, the pool pad and that is the equipment, which will from a margin perspective has a lower margin component than the shell of the pool. Sorry about the noise. 48:39 So the shell is part of is part of the remodel. That is a pool finish and pool tile, which tends to be very margin accretive, more so than the equipment pad. And then when you get into the third part of the pool, which is really kind of the decking and water features and fire features and fire places, and now outdoor kitchens, that tends to be even more margin accretive. 49:06 So, if it's just equipment and somebody says, hey, I want to remodel, basically and change my heater and go to a variable speed pump. That's good business, but that's not as margin accretive to us as if they're going to refinish the whole pool with new tiles, new coping, and add some decking around it. Does that make sense?
Garik Shmois: 49:23 Yes, it does. Thanks for that. Wanted to follow-up just on the Porpoise acquisition and the announcement to expand the number of retail branches, I think have I heard correctly [into 20] [ph] per year. Could you speak to just the opportunity set to grow in the retail? Does this also signify perhaps fewer opportunities to grow in the traditional distribution model. And I guess just the last part of this multi-part question, are you seeing any change in pool owner behavior? Is there a shift, maybe just with some inflationary concerns towards DIY versus hiring auto pool professional to come and service the pool?
Peter Arvan: 50:10 Yes, we didn't say that the expansion was going to be 18 to 20. I think the number was 8 to 10, that’s what we talked about. And the opportunity is pretty big because if you look at the market today and what was again very attractive about this is, Pinch A Penny is a very well run retailer. It has very good market share in the markets that they compete. They have very good density in the State of Florida. And we're just starting to gain a foot-hold in Texas. And if you remember, what I mentioned in my prepared comments it said, when you run a truck from Clearwater to Houston, which is how they're delivering and supporting those stores today, that's a 19-hour drive. 50:54 And when you look at our footprint and where our warehousing is throughout the State of Texas, the number of facilities that we have, there's tremendous synergies between the two. And then, so, if you consider that there is a certain number of people in every market that are going to take care of their own pool. 51:12 Their choice is to go to the mass, a specialty retailer, whether that's somebody like Pinch or to have their pool professionally maintained. So, but the ones that are going to do the pool themselves, they need a place where they can get product and more importantly get the expertise that they seek. 51:39 So, think about a pool store or whether it's an independent pool store or whether it's one of – whether it's a Pinch A Penny for instance, part of the reason they go there is for the knowledge of the person behind the counter, and the folks at Pinch A Penny are very, very good at that. 51:55 So, we like the fact that the footprint has yet to expand really much faster, those I mentioned 21 locations in Texas. I don't think that that has really any impact on opportunities to grow the rest of our business, which I think was the other part of your question because remember, there's still a number of people that are going to have somebody maintain their pool for them. 52:17 So, with the installed base growing, right, with the installed base growing, I think that there's ample opportunity for us to grow on both the professionally served side and for the DIY. And that was part of the rationale for the acquisition. That, and the technology and the tools that are inside at Pinch A Penny that we can help our current independent retailers improve their business as well.
Garik Shmois: 52:45 Got it. Thanks for that. Thanks for the clarification.
Operator: 52:52 Our next question will come from David Manthey with Baird. Please go ahead.
David Manthey: 52:58 Pete, Melanie, good morning.
David Manthey: 53:00 Good morning. I guess I'll stay on Porpoise here, you've given us roughly the revenues of 250 million so, and I think you said operating margins are close to your corporate average, is there any variance on the gross margin of that business relative to your core business?
Melanie Hart : 53:22 Yes. The earlier description was related to the gross margins. And so, the operating margins were probably right similar to what we've seen or what we're seeing currently, but it will be burdened if you will by the intangible amortization expense. So, you will need to take that into consideration. So, that lowers that for the projection going forward.
David Manthey: 53:45 And I'm sorry, I got dropped from the call, but did you give interest expense, depreciation, amortization for 2022?
Melanie Hart : 53:54 I did not give it in total, but the addition there is going to be – is about $10 million in an increased expense.
David Manthey: 54:01 For D&A?
Melanie Hart : 54:04 Yes. Just for the amortization expense on the intangibles, it is about 10 million to 12 million in total, which will be the [adds that] [ph] will be coming in from Porpoise.
David Manthey: 54:13 Got it. Okay. And then, as you talked about the components of the business, Pete, I think you outlined distribution, chemicals packaging, and then the Pinch A Penny business itself, could you discuss the breakdown of revenues between those? And are there intercompany revenues we need to worry about here?
Peter Arvan: 54:38 Certainly on the franchise side, right, the way franchises work, you know, there is the franchise fee, which is on total retail revenue. And then there is the fee. I'm sorry, then there's just the cost goods going into the store, which would be at traditional wholesale value. And then there's the chemical piece, which either is at this point as we said, some of that product is sold externally. Most of it by and large goes to the stores and then we will consume a large portion of what else can be produced by that plant? 55:18 So, the intercompany piece would be us acquiring chemicals from Suncoast to sell through the branches.
David Manthey: 55:29 Okay. But the distribution and chemical packaging business, is that effectively from a revenue standpoint, the same thing, and then, if you're selling that to Pinch A Penny, if you're selling that the POOLCORP, that would be the intercompany situation?
Melanie Hart: 55:45 Well, so the – any chemicals that are sold from the chemical packaging to any of our existing operating locations would be in our company and so of those would not be reflected in the consolidated financial statements. And so, the chemical packaging per se, it was primarily third party. So, outside of the franchise network historically, And so, that will be where we would be taking on the additional capacity. 56:11 So, any of these distribution activity that goes to the franchisees is not considered intercompany because it's going to the franchisee, which is not a related party.
Peter Arvan: 56:21 Right. So, everything going to the store David is an external sale because they're all independently owned and operated.
David Manthey: 56:29 Got it. Okay. All right. Thanks very much. I look forward to seeing you in a few weeks down here.
Peter Arvan: 56:34 Yes.
Operator: 56:39 Our next question comes from Susan Maklari with Goldman Sachs. Please go ahead.
Unidentified Analyst: 56:45 Hey, everyone. This is Charles [indiscernible] again. Thanks for my follow-up. Just a quick question. Can you talk about your expectations for supply chains in 2022? And is your guidance [lacking an] [ph] improvement from here, and we assume that any incremental supply chain pressure is a relative advantage for you given the relative size and scale compared to your competitors? Considering this, can you also talk about some of the initiatives to protect your recent market share gains from [Mom 'n' Pop] [ph] when supply chains eventually improve. I'm assuming either through Pool360 or others.
Peter Arvan: 57:20 Sure. Alright. Let me unpack that because there's a lot in there. So, from a supply chain perspective, in our prepared remarks, we said that supply chains are improving. We're seeing greater productivity and greater stability and productivity from the manufacturing sites. So, we're encouraged by that. 57:37 Couple that with the fact that our inventories are significantly better starting the season this year than they were last year. You know that is another positive sign too. So, from an overall supply chain perspective, as I mentioned, there's still going to be a couple areas of concern. One is, going to be in chemicals; and two is going to be in some of the equipment that contains a computer chip that you've all read about. We'll provide some pressure. Right. So, as it relates to the customers that we were market share that we gained, you know, we are very focused on the customer experience, right? 58:16 So, we take every one of those new customers as an opportunity to grow our business. We don't take any of them for granted. And we try to make sure that the customers that have switched over and they've come to us continue to stay with us, then we continue to provide them with tremendous value. 58:34 So, there would be no reason for them to switch back. Certainly, I think when supply chains return completely to normal, which appears to be in the distant future at this point, but when that does happen, there may be some customers that go back, but by and large, I think most of the business that we have secured, we hope that the customers can see the value and our focus on helping them and the tools that we provide that will encourage them to stay with us. So, not really a big concern that we're going to lose the business that we’ve gained.
Unidentified Analyst: 59:11 Okay. Thank you so much for the time guys.
Operator: 59:17 Ladies and gentlemen, this will conclude our question-and-answer session. I like to turn the conference back over to Pete Arvan, President and CEO for any closing remarks.
Peter Arvan: 59:28 Yes. Thank you all for joining us today. We look forward to our next call, which will be on April 21 when we will be releasing the first quarter 2022 results. Thank you.
Operator: 59:41 The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.